Operator: Good morning and good evening. First of all, thank you all for joining this conference call and now we begin the conference of the Fiscal Year 2011 Fourth Quarter Earnings Results by LG Display. This conference will start with a presentation followed by a division of Q&A session (Operator Instructions). Now, we shall commence the presentation on the Fiscal Year 2011 Fourth Quarter Earnings Results by LG Display.
Hee Yeon Kim: Good morning, good afternoon, good evening everyone. Welcome to LG Display’s fourth quarter year 2011 conference call. My name is Hee Yeon Kim, Head of the IR Department. On behalf of LG Display, I would like to welcome everyone to our global quarterly earnings conference call. I am joined by our IR staff, as well as the representatives from TV Marketing and IT Marketing. J. S. Park is heading up the TV Marketing Department and Kevin Choi is Vice President of IT Marketing Department. Next slide please. Before we move onto the earnings results, please take a minute to read the disclaimer. I would like to remind everyone that results are based on consolidated IFRS Accounting Standards and are un-audited. Next slide please. This conference call will take about an hour. Before we go into the Q&A session, please allow me to highlight our fourth quarter results, performance highlights, and outlook. Moving on to revenue and profits on the next slide, revenue was (Won) 6.6 trillion, up 5% quarter-on-quarter. We did better than expected in U.S. end of year sales, higher value-added products such as FPR 3D and Smart device sales growth resulting 4% quarter-on-quarter increase in shipments. Although panel prices slightly dropped in Q4, the price remained flat this November with the conservative inventory policies and utilization adjustment across the industry. Increased proportion of high-end specialty product, higher utilization rate and continued cost reduction significantly improved operating loss compared to previous quarter recording (Won) 145 billion growth. Operating margin was minus 2%. EBITDA margin was 13%. Income before tax was minus (Won) 133 billion. Net income was minus (Won) 6 billion. Moving on to slide four, looking at our financial positions and ratios. Following the rough quarter, aggressive cost reduction efforts and preemptive inventory level control improved our financial position. So our cash and cash equivalent rose to (Won) 2.3 trillion. Inventories fell by (Won) 52 billion to (Won) 2.3 trillion. Net debt-to-equity ratio fell by three percentage point quarter-on-quarter recording 22%. Moving onto slide five, looking at our cash flow. Cash at the beginning of the quarter was (Won) 2 trillion. Cash flow from operating activities resulted in cash inflow of (Won) 1.5 trillion with (Won) 638 billion increase in working capital. Cash flow from investing activities resulted in an outflow of (Won) 1.2 trillion. As a result, the net change in cash was inflow over (Won) 300 billion. Moving onto slide six, I would like to go over our performance highlights. Looking at our shipments, it increased by 4% quarter-on-quarter. Panel price remained flat since November and our ASP recording $684, a 3% quarter-on-quarter decrease. The price fall was limited compared to the industry average decline due to increased pushing of our higher value-added products. Moving on to our product mix on slide seven, in the fourth quarter, the TV segment represent 47% of the revenue, followed by monitor at 20%, notebook at 13%, smartbook at 9%, and mobile and others at 11%. The smartbook portion has been reduced as the high-end smartbook sales decreased in Q4, but mobile’s revenue portion increased with strong sales in smartphone. Moving on to slide eight, and looking at our capacity. Our capacity decreased slightly by 3% quarter-on-quarter. This is due to the introduction of our new production process in changing (inaudible). Although the production capacity decreased, impact on our output was limited as the production efficiency has improved. Next, we turn to our outlook section. In the fourth quarter, we expect our total shipment to remain similar to the previous quarter and we expect better than normal seasonality as the customers restock their inventory from current low levels and (inaudible) is expected to increase within our customers. However, the uncertainty over demand outlook remains with a macro economic impact acting as our risk factors. The ASP is expected to remain stable since the panel maker’s profitability concerns continue and inventory levels across the industry are very lean. Although there are some uncertainties in the market which could potentially impact the panel shipments, we believe that we are in a relatively better position. Thanks to the increasing trend of high end specialty products within our sales. We are committed to accelerating the differentiation of our products and believe the strategy to minimize the impact of the industries that are back hauled and to maintain the stable product structure during this uncertain period. With that I will end my summary of Q4 and future outlook and would be happy to take your questions. To use the time efficiently, please limit to three questions per person. Operator, proceed to Q&A session please.
Operator: Now Q&A session will begin. (Operator Instructions) The first question will be provided by Mr. Andrew Abrams from Avian Securities. Please go ahead sir.
Andrew Abrams – Avian Securities LLC: Hi, just a couple of questions. Smartphones, would you expect Smartphones as a part of your mix to be up in first quarter or would it be down again, just as a, on a general basis in first quarter?
Hee Yeon Kim: In Q4, our Smartphone portion was increased and also in Q1 we expect our Smartphone portion will also increase backed by [market] increase in our customers.
Andrew Abrams – Avian Securities LLC: Right, and have you seen any impact on your business from the hard drive shortfall, has it affected the monitor side meaning the monitors or the notebook side directly that you’ve seen?
Kevin Choi: This is Kevin Choi from IT Marketing. Actually, industry wise there is some slight impact because of the hard disk driver supply, but costumer by customer the situation is really different and for major customers their impact was limited. For second tier customers they have some larger, has relatively larger impact. However, in our case although our customer portfolio is mainly with major customers, so relatively our impact was quite smaller than others, I believe.
Andrew Abrams – Avian Securities LLC: Great thank you. And lastly OLED if you could kind of just review the TV plans, are we still on track for something in late second quarter or early third quarter as far as a product release, is that still on track and are we still talking about the Gen-8 fab, all the similar kind of things that we talked about last quarter?
Hee Yeon Kim: In terms of OLED television strategy, it is still on track with our initial production and also you might have heard about the [marketing] of our OLED television at the CES show actually the feel of it was quite cool. So it might be possible we might make a decision for the new additional capacity increase in OLED in our initial consideration.
Andrew Abrams – Avian Securities LLC: Great, thank you very much. I appreciate it.
Operator: The following questions will be presented by Mr. Jeffrey Toder from RBS. Please go ahead, sir.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Yes, good evening, couple of questions. First, on the capacity reduction, is that something that we should see going throughout the year or was there a short-term impact on your capacity from I think you mentioned before you changed your process on your set mix?
Hee Yeon Kim: It will be a temporary issue. It will impact on our first quarter.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay, will impact on first quarter or will not impact on first quarter?
Hee Yeon Kim: It will be only temporary issue for only one quarter.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. So we should think of 1Q as going back closer to the 3Q level rather than the 4Q level?
Hee Yeon Kim: Yes.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay, Great. Okay, second question, you mentioned that inventories were low across the supply chain is a good situation to be in. Your first quarter shipments being flat, your fourth quarter being up, this seems to be different than overall seasonality for end markets. From the view of end markets, how much do you see of your shipments sort of the market demand coming from restocking in first quarter and how much do you see as end market demand and if you can break that down between TVs and IT, that will be great.
Hee Yeon Kim : It might be difficult to just allocate to how much it will be for the real demand and for the inventory restocking, but however if you look at the seasonal patterns, usually first quarter we might see 10% to 15% demand decline. However this quarter we either will be flat or (inaudible). If we see the shortcut pattern maybe 10% to 15% should be inventory destocking demand and the remaining should be there will a border. This is my understanding.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. And then just do you have – I know that in the afternoon session you gave capacity forecast for the year. Do you have a demand forecast or demand growth forecast for 2012?
Hee Yeon Kim: In case of demand, we expect the demand growth should be very limited to mid-single digit.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Is that mid-single digit?
Hee Yeon Kim: Sorry, in terms of demand growth it should be about 10% and comparative growth should be about mid-single digit.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. So capacity, mid-single and demand up around 10%.
Hee Yeon Kim: Yes.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: And then just following-on on the demand side, how are your customers thinking about Chinese New Year and Olympics and how that might impact the order trends in second quarter. I’m not asking for a forecast, I know that that’s outside of your guidance range, but in particular, when we look at sporting events they have turned out to be disappointing. And I was wondering, if you’ve seen any change in the way your customers think about that build going into the summer versus what we’ve seen in previous years.
J. S. Park: This is J. S. Park from TV Marketing. Channels (inaudible) sales, we didn’t receive the performance data, but considering Chinese government sub selling program and the last year demand growth was around 20% YoY basis, but after finishing government subsidy program every Chinese’s customers expect around 10% growth rate till they want – they expect, but the result is lower that their expectation, but we didn’t have any data now.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay, that, that’s for the Lindner media, right?
J. S. Park: Yeah.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. So and I think you said in the call – in the conference this afternoon that you entered or the Chinese market entered below normal inventory for the peak season, is that correct?
J. S. Park: Because of strong sale reserve at the end of last year, our customer’s general inventory level was around one is to lower than their normal level.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. Now what I was actually asking about was the next round of holidays, which is Labor Day and also as I said demand leading into the summer where we have the Olympics this year, and how customers might be thinking about inventories and a situation where you’ve already noticed or noted that inventories are low. So coming into second quarter toward the end of first quarter, how are they thinking about those events?
J. S. Park: Historically those kind of sports event impact around 2% additional growth, but this demand shift from second half to first half. We expect the same situation, but – because of Europe, economic situation is really bad now. So this year it’s not easy to forecast, same thing happened this year. So we are a little conservative at this moment.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. And that would be our second quarter, that’s okay. Can I just ask one more question on CapEx?
Hee Yeon Kim: Yes.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. When we look at, how should we think about, you talked about maybe launching sets in the middle of the year for OLED? And you’ve talked about making; I think a decision on your OLED investment plan towards middle of this year. But when you look at, we’ve got the CapEx guidance for this year, that’s no problem. When we look at 2012, it looks like that will carry the bulk of the OLED investments. So should we think about that number potentially being sequentially higher than the cash guidance for this year?
Hee Yeon Kim: Actually, although irrespective of our decision making of OLED, our CapEx for this year should remain same. There should be a KRW 4 trillion in terms of cash outflow. Actually, if we make a decision for the OLED, additional CapEx in second half of this year, it means our major cash outflow will be made in year 2013. So, overall our CapEx should remain same in year 2012.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: All right, and then would you see CapEx in 2013 being higher than 2012, because of the OLED investments?
Hee Yeon Kim: Actually, right now we have several options for the OLED CapEx. Yes, we will have a new set built up, that should be one option, and another option will be our existing fab conversion. So with this kind of two options, our CapEx should be quite different. So it’s early to mention about the issue.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. And then you gave some numbers on that I think in the afternoon meeting, right? So you said a new OLED 8.5G would be 2.5 times the cost of similar capacity for LCD, right?
Hee Yeon Kim: In capital, yes, investments.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: And then, if you convert it in existing fab, it would be half of that amount?
Hee Yeon Kim: Yes.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: And then, I mean when I think about these numbers, it sounds like the economics for building a new OLED fab are going to be very difficult without having a significant price premium. What sort of price premium do you think is the right number in order to incorporate high CapEx figures?
Hee Yeon Kim: Actually, right now we are not in mass production stages. So yield ratio and cost structure is not defining yet. So the price premium – mentioning about the price premium is also very early stage. So we might give you a clear answer maybe in second half of this year.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: I think the question isn’t where it is today. The question is what do you think would be the right types of numbers to make that CapEx make sense?
Hee Yeon Kim: Actually, I did mention that we probably have several options for the CapEx and investments. So based on – according to which option should we choose, the number of our CapEx should be quite wide range. So it’s difficult to mention about that.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay.
Hee Yeon Kim: We’ll give you the answer in second half of this year.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay, I’ll be looking forward to that. All right, well, thank you very much.
Operator: Currently, there are no participants with questions. (Operator Instructions) The next questions will be presented by Mr. Daniel Chang from SK Securities. Please go ahead, sir.
Unidentified Analyst : Hi, thanks for taking my question. I have three simple questions on OLED. And my first question is, when do you think OLED TV panels will become comparable in cost to LCD panels in the views of TV set makers? And my second question is, what size are you planning on for the OLED TV to be released for the second half of this year? And lastly, for OLED materials, could you tell us the lifetimes for the yellow, green and blue materials?
Hee Yeon Kim: I’ll give your second question, because it is easy, 55-inch first. And then first, sorry, I forgot your question. The reasonable price point for domestic; we believe we might have done reasonable price points after the proved ramp up of our 10-inch type of OLED. So we plan for our full ramp up of new OLED in all (inaudible) trails. We expect that timing that we have reasonable price point to offer to the market. In terms of lifetime, right now we have to consider the lifetime based on the [proved] basis, because the proved lifetime is the shortest, it is 3000 hours. It means 10 years of display in terms of eight hours displaying –30,000 hours.
Unidentified Analyst : 30,000 hours?
Hee Yeon Kim: 30,000, based on the blue.
Unidentified Analyst : And it is about for eight years, is it?
Hee Yeon Kim: 10 years, based on eight hours play per day.
Unidentified Analyst: Okay. Thank you very much.
Operator: The next questions would be presented by Mr. Brian Park from Tong Yang Securities. Please go ahead sir.
Brian Park – Tong Yang Securities: Thank you for talking my question. I have couple of questions. You mentioned in the afternoon session area proportion of premium products are rigid, 30% in fourth quarter of last year, and you are targeting 60% end of this year. Can we estimate quarterly proportion by linear sequential growth? I mean, first quarter of 30 something more 40%, am I right? And second question is on worldwide utilization rate is still quite low we estimate, could you provide us your numbers in December and January, if it is not convenient for you well quarterly numbers are okay, so I just want to estimate cost reduction potential with that number? Thank you.
Hee Yeon Kim: For the premium products proportion each of the region are looking forward to expectation for the forecast of linear growth. Actually we don’t have the numbers for the each month. So we only have the quarterly numbers.
Brian Park – Tong Yang Securities: Okay.
Hee Yeon Kim: Well globally, quarterly of Q4 on utilization ratio was around 80%, and first quarter also should be very similar at 80%. It is like over 80% first quarter, it is slight below 80%.
Brian Park – Tong Yang Securities: Is that your number?
Hee Yeon Kim: That’s the global utilization ratio and our utilization ratio should have been over 90%.
Brian Park – Tong Yang Securities: Okay, thank you.
Hee Yeon Kim: In Q4 and in first quarter each.
Brian Park – Tong Yang Securities: Okay.
Operator: The following questions will be presented by Mr. Colin Sebastian from JPMorgan. Please go ahead, sir.
Colin Sebastian – JPMorgan: Hi, thanks for taking my call. Could you give me a little bit of idea of what’s going on with your Oxide process and how that’s progressing in terms of the technology for the back plans, for the OLEDs specifically?
Hee Yeon Kim:  Actually, we already released 55-inch OLED television at the CES show and also we mentioned that we will ramp up our OLED fab in the middle of this year it means our Oxide technologies [fidelity].
Colin Sebastian – JPMorgan: Okay. Even on 8.5-generation scale, you have – are you having any issues in terms of the ramp there?
Hee Yeon Kim: We had several issue, but we resolved, that’s why we are ready for the production.
Colin Sebastian – JPMorgan: Okay. Okay. And when you talk about 2.5 times the cost to build a similar facility and then you say that’s about half of that if you convert in existing line. Is that – how much of that is the conversion of the Amorphous process into the Oxide versus adding additional equipment for all that deposition and all that process?
Hee Yeon Kim: On the detailed cost of touch side that we have right now we don’t have the numbers. More effective more detailed numbers in next quarter earnings conference call. Sorry for that.
Colin Sebastian – JPMorgan: Okay. Thank you very much.
Operator: The next questions will be presented by Mr. Wamsi Mohan from Bank of America/Merrill Lynch. Please go ahead, sir.
Wamsi Mohan – Bank of America/Merrill Lynch: Yes, thank you, good morning. I believe in your earlier call you had indicated that you expect the panel shipments to exceed the TV sell through, is that right? And why is the expectation that you will have higher panel shipments this year relative to TV sell through? Thank you.
Kevin Choi: Do you mean us, when do I sell through?
Wamsi Mohan – Bank of America/Merrill Lynch: Yes.
Kevin Choi: In Q4 of this year?
Wamsi Mohan – Bank of America/Merrill Lynch: For 2012.
Kevin Choi: 2012, we expect around KRW 203 million for this year at faster rates, this growth rate around 5% YOY.
Wamsi Mohan – Bank of America/Merrill Lynch: Okay. How about for panel shipments?
Kevin Choi: Well, we expect panel shipment is much higher than that KRW 248 million this year. Growth rate around 14% in terms of unit and we expect more – over 15% in terms of area.
Hee Yeon Kim: If I may add on that is actually there is some gap between panel shipments and actual TV set shipment. That’s because of the inventory restocking demand. Actually last year, panel shipment was negative growth while TV set shipment was positive growth that’s because of the rest day for inventory correction from set makers. Then on the flip side, we believe this year, this kind of last year’s inventory correction issue will be additional growth potential for panel makers because set makers will increase their inventory. Right now inventory level is very low historically low level, it is very lean. So however, this year we have some events and also set makers will start to build inventory restocking need. So that’s the gap between certain panel make panel growth numbers.
Wamsi Mohan – Bank of America/Merrill Lynch: Okay, thank you. That’s helpful and one more if I could. Any sense on how Chinese New Year sell-through progress?
J. S. Park: Lots of people are interesting in Chinese New Year and as [it is playing] Chinese government subsidy program was finished at the end of last year. This right YOY last year’s, and the last year’s demand growth was around 20% and yesterday this lunar year every customer in China expect around 10% growth rate YOY further even we didn’t have exact numbers, but we heard that the results were less than their expectations. And we expect around less than 10% growth rate in China this year.
Wamsi Mohan – Bank of America/Merrill Lynch: Okay, thank you. That’s very helpful. Thank you.
Operator: Currently, there are no participants with questions. (Operator Instructions) The next questions will be presented by Mr. Andrew Abrams from Avian Securities. Please go ahead sir.
Andrew Abrams – Avian Securities: I just wanted to clarify what you were talking about on the panel production versus sets. If I understood it correctly you are looking for normal panel growth to be about 5% year-over-year at 220, and if we include the inventory fill, its 14% or 15% around 238, is that correct? Are those numbers correct?
Kevin Choi: Yeah, sales rates, [flat sales] rates we expect around 5% at 220 million, and panel shipment we are expecting around 14% in terms of unit 248 million. At this research, always their panel shipment and [assessment] gap is around 7%. We are using around 6% because our panel shipped to our TV set customers but also PolyDisplay use our panel. So, there are gap between panel and sets because you everybody get number from TV sell-through data, but PolyDisplay is not counting that numbers. That’s why the gap between panel and sets.
Andrew Abrams – Avian Securities: Got it. Thank you very much, I appreciate it.
Operator: The following questions will be presented by Mr. Jeffrey Toder from RBS. Please go ahead, sir.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Hi. I have just a follow-up on the demand question. So you’ve given the numbers for set and panels for TVs. Could you give the same numbers also for I guess tablets or smartbooks, notebooks and monitors?
J.S. Park: In case of monitor we are expecting the panel demand around 198 million. And in case of a notebook, pure notebook around 238 million. And in case of tablet around 82 million. That’s what we’re expecting right now.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Are those set forecasts or panel forecasts?
J.S. Park: Panel forecast.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Panel forecast. Are your set forecasts different for those categories?
J.S. Park: We think slightly lower than that.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. So…
J.S. Park: 5% difference averaging.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: 5% difference on average. Okay.
J.S. Park: Yeah.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Less.
J.S. Park: Yeah.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. And then, okay one other question on your touch business. How is your in-cell technology progressing? And when do you expect to be in mass production?
Hee Yeon Kim: In terms of technology we are ready. However, the production timing, for the production timing, we cannot mention about that because it is related to our customers. Our production schedule, try to understand that issue.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Did you say in the meeting earlier that, I’m not sure whether you said it would be ready in first half or you would be starting production in first half? Or am I missing the meeting.
Hee Yeon Kim: In terms of production as I mentioned before we cannot mention about the issue, please understand.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay, so…
Hee Yeon Kim: Anyway, the technology and production we are ready.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. So the technology is already ready?
Hee Yeon Kim: Technology and production base is already ready, but the timing cannot mention about that.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: And then okay, so if you’re ready then when you think about it on a cost basis, so if a panel, let’s not take a panel price, but let’s just say if a panel is priced at X, without in-cell cost or cost X, let’s say, then what would the cost be for in-cell, X-times, how much?
Hee Yeon Kim: For that issue actually we adjusted the further production. We have the further production stages, so we don’t have any detail of the cost of structures. Maybe several quarters later, we can deliver you the details of the cost of structures for that. But anyway theoretically in-cell cost structure should be more competitive than the existing cost of structure.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Should be more competitive than…
Hee Yeon Kim: More competitive…
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Than having a separate module?
Hee Yeon Kim: Yes.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. But you don’t have any idea of how much more competitive?
Hee Yeon Kim: We have idea, but we cannot mention about the issue.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay.
Hee Yeon Kim: (Inaudible) issue, yeah.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay, bye. Thank you.
Operator: The next questions will be presented by Mr. Colin Sebastian from JPMorgan. Please go ahead sir.
Colin Sebastian – JPMorgan: Hi, thanks for taking another question. Can you give me an idea just a follow-on to the [Intel] on what your yield look like in terms of how well you’ve been able to get those?
Hee Yeon Kim: Actually, as I mentioned that we (Inaudible) not the production stage, so…
Colin Sebastian – JPMorgan : But in terms of at least through your R&D or whatever we have over last year, you’re experimenting it with, what yields have you been able to establish?
Hee Yeon Kim: In terms of R&D status our (inaudible) should be okay.
Colin Sebastian – JPMorgan : Okay. And just going back to OLED really quickly in terms of taking existing LCD line from when you decide to convert that to OLED. What do you think the timing is from that first consideration to being able to ramp up OLED production on that line, is it six months or would it be 12 months or would it be 18 months, can you give the general timeframe there?
Hee Yeon Kim: It should be 18 months that’s the usual pattern.
Colin Sebastian – JPMorgan : Okay. So that’s from taking an existing LCD offline and then starting the process and 18 months later you’re in full production on OLED.
Hee Yeon Kim: Yes, we have to procure the [deposition] version as well although we have to convert our existing Amorphous silicon-based to Oxide.
Colin Sebastian – JPMorgan : Right, so converting to Oxide having additional OLED equipment and then being able to ramp that production about 18 months you think?
Hee Yeon Kim: Actually in terms of Oxide combustion, it would only take six months, but in case of the deposition side it will take 1.5 years.
Colin Sebastian – JPMorgan : Okay. All right, thank you very much.
Operator: Currently, there are no participants with questions. (Operator Instructions). The following questions will be presented by Mr. Jeffrey Toder from RBS. Please go ahead, sir.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Hi, I’m just following-up on the last question. So you said, Hee when you talked about converting to OLED, you just said Oxide at six months and deposition is 1.5 years; does that mean, if you converted an existing line, it would take two years or it would take 1.5 years?
Hee Yeon Kim: It just takes 1.5 years.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. So the 1.5 includes the deposition, it includes the conversion to Oxide.
Hee Yeon Kim: Yes.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. That’s quite a long time. Okay. And then also just back, I just missed one of the demand numbers that you gave me earlier. Can you just tell me what the notebook number was for 2012?
Kevin Choi: Total demand?
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Yes.
Kevin Choi: 238 million.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: 238 million. So the notebook number is the same as the TV number.
Kevin Choi: Coincidentally similar number.
Jeffrey Toder – Royal Bank of Scotland Asia Ltd.: Okay. And I just wanted to make sure I got it down right. All right, thank you much.
Operator: The next questions will be presented by Mr. Kim Dong Joon from UBS Securities. Please go ahead, sir.
Kim Dong Joon – UBS Securities: Hi, thank you. Quickly on all that CapEx, I think I’ve heard that the Greenfield investment for 8 General Affair would be about 2.5 times higher than that will be [equivalent] LCD fab, but the convergent cost would be about half of this amount. Is this correct?
Hee Yeon Kim: Yes, correct.
Kim Dong Joon – UBS Securities: Thank you. Then, does this suggest that the convergent cost alone excluding opportunity cost that you would incur during the 18 months that you’ve just mentioned would be higher than the opening of a new LCD fab. Is it correct? Okay.
Hee Yeon Kim: No, it is similar.
Kim Dong Joon – UBS Securities: Okay. Thank you very much.
Hee Yeon Kim: What I’m trying to say is that total timing will be similar to [LCD fab].
Kim Dong Joon – UBS Securities: Thank you.
Operator: Currently, there are no participants with questions. (Operator Instructions)
Hee Yeon Kim: Operator, if there is no participants to wait, please end this conference call now.
Operator: Okay. There are no participants with questions now.
Hee Yeon Kim: Okay on behalf of LG Display, we thank you for your participation in our first quarter earnings conference call. Should you have any further questions, please contact either myself and our colleagues. Thank you.